Operator: Ladies and gentlemen, thank you for standing by. This is the event operator. Welcome to Barrick’s Results Presentation for the Third Quarter of 2023. Following today’s presentation, a question-and-answer session will be conducted. [Operator Instructions] As a reminder, this event is being recorded and a replay will be available on Barrick’s website later today, November 2, 2023. I would now like to turn you over to Mark Bristow, President and CEO of Barrick. Please go ahead, sir.
Mark Bristow: Thank you operator and good afternoon and good morning ladies and gentlemen. I would start with the current global metals and minerals environment, which really reminds me of the past 2015 years when the mining industry stalled after a very good run. Compounded this time by inflation pressures and a few or no new discoveries and a chaotic global order. Then as now, it is plagued by the obsessive short-termism of governments and investors alike who demand instant gratification and reach for immediate solutions, dismissing the long-term nature of mining. Whether you are building a sustainable business or a better world, you need carefully considered strategies and practical plans to achieve one’s goal. Whether that is the global transition to renewable energy or a business that creates and delivers real value to all its stakeholders, wishful thinking won’t get you there. That is why Barrick has a long-term vision of its future and a strategy which, as I will show you in the course of this presentation is organically designed to deliver value today and growth tomorrow by building real partnerships with our host countries and other key stakeholders. As every quarter, today, I will be making some forward-looking statements, so please take note of this cautionary statement, which is also available on our website. As you can see from the KPIs, it has been a very busy quarter. Gold and copper production were both up on the previous quarter and have been up quarter one to quarter two, quarter two to quarter three. But we did have some setbacks, notably, the slower ramp up of the expansion of Pueblo Viejo, our flagship organic growth project in the Dominican Republic. This is impacting on our ability to achieve our gold production guidance for the year, but as I have often said, mining is a long game and we don’t manage Barrick quarter-by-quarter. Even though with the slower ramp up at PV, we still expect that mine to exceed 800,000 ounces for 2024 and our group projection of a 30% growth in gold equivalent production by the end of this decade remains intact. Otherwise, there was a lot of good news during the quarter, particularly, the progress we are making with our other growth projects, La Moana and RekoDiq, and a strong financial performance. I will tell you more about these and the other KPIs as we go through the presentation. The operating results for the quarter were as I have already said an improvement on the previous quarter with higher gold and copper production at lower costs. We are expecting a further improvement in production in the fourth quarter. But as I pointed to the annual production is now expected to be marginally below the low end of the 4.2 million to 4.6 million ounce range. Copper remains on track to achieve its guidance of 420 million to 470 million pounds. As you can see here, the financial results were strong with operating cash flows growing by 35% to more than $1 billion quarter-on-quarter, free cash flow up significantly to $359 million and a 26% increase in adjusted net earnings to $0.24 per share. Barrick’s robust balance sheet secures our capacity to continue investing in our growth projects independent of the market, both new and existing, while we continue to reward our shareholders through dividends. While growing our business, we have also been driving a new safety culture, including a new set of standards and initiatives to keep improving this important part of our business. We call this the Journey to Zero. Sadly, this key priority was impacted by two fatalities during the quarter, which are deeply disappointing for me and the company. We remain highly motivated to achieve these Zero goals. And during the past quarter, we have developed and revised fatal risk management program to help ensure that we stay on course with our Journey to Zero. Barrick has continued the very pleasing trend of increasing the amount of water we reuse and recycle at our operations and for quarter three recorded an 85% efficiency rate. We also continue to make good progress towards our Scope 1 and Scope 2 emissions targets. And during the quarter, the group, including our power plants, posted a 6% decrease in emissions compared to the same period in 2022. A key milestone in the terms of tailings management was also achieved during the quarter as Barrick conformed to the global industry standard on tailings management and published its disclosure of all very high and extreme consequence facilities on the 4th August. Our teams have already commenced work to fulfill the requirement of the standard for our remaining facilities by 2025. Consistent with most gold companies, Barrick’s Scope 3 emissions, which make up at least 40% of our total emissions are mostly within Category 1, which is our suppliers and Category 3 fuel and energy transmission. Through our extensive supplier engagement and data collection process over the past three-years, we were able to set qualitative and quantitative targets that are achievable and measurable as disclosed in this slide. Turning now to the operational review in North America, already the largest gold miner in the United States. We are committed to expanding our continental footprint beyond our substantial base at Nevada Gold Mines or NGM for short, into other prospective parts of the United States as well as Canada. And also, as I will show you later, we are making significant progress with these endeavors. Nevada Gold Mine’s performance is led by Turquoise Ridge, where a successful turnaround exercise by its new management team has increased production by 14% against the same period in 2022, helped by the successful commissioning of the third shaft. The mine has one of the highest grade ore bodies in the industry but at the time of the merger was struggling to live up to its potential. It now, once again, fully justifies its Tier 1 status. The lessons learned at Turquoise Ridge, mainly about the critical importance of teamwork and planned maintenance are now being rolled out at the other NGM mines. As we often stress, NGM is rich in growth opportunities and there is a strong exploration drive to replace reserves as well as to find the next big stand alone discovery. It is delivering very promising results in the three trends shown here. Notably, Leeville in the Carlin Trend, Goldrush, in the Cortez trend and the extensions at Turquoise Ridge. Drilling results from across the NGM portfolio have already provided port for its three-year reserve and resource replacement plan. The Barrick owned Fourmile project adjacent to Cortez’s Goldrush, but not part of NGM merits special mention. Fourmile is, by some distance, the best undeveloped gold asset in its class and we fully expect it to become a long life, high value mine. Conceptually, combined with Goldrush, it will be the largest gold mining operation in the Americas. The long wait for the government record of decision on Goldrush has been frustrating, but the notice So availability for the final environmental impact statement for Goldrush was published by the EPA on October 27th. So we expect to receive the record of decision before the end of the year as previously guided. This is an overview of our expanding work and land consolidation across North America. As you can see, we have many growth opportunities beyond NGM. And as we work through this in the coming quarters, we will give you more clarity on exactly where we are building those footprints. Across the U.S., our teams are hunting for and securing significant early stage opportunities to feed into our project pipeline. In Western Nevada, Phase 1 drilling has been completed at Pearl Stream with Phase 2 scheduled to start soon. Further north, at the advanced Donnan project in Alaska, which boasts a very large resource, we are progressing key work streams to continue moving it up the value curve as detailed in this slide. And in Canada, fieldwork was successfully conducted on three properties, building confidence and advancing each project towards testing priority target concepts. We move now to Latin America and the Asia Pacific region, where we have been expanding our exploration portfolio. The main focus, however, has been, as I mentioned in the introduction, on the ramp up of the expanded Pablo Viejo Mine and the updating of the RekoDiq. At the time of the merger, the Tier 1 Pueblo Viejo asset was destined to stop mining this year and processing by 2030, constrained as it was by low grades and a lack of tailings capacity. A visionary expansion project has unlocked to optimize 20,000,000 ounces of reserves, extending the mine’s life well beyond 2040 at an average annual production rate in excess of 800,000 ounces. A project of this size always comes with risks and challenges. And in the case of PV, it was the failure of the gearboxes is for the flotation cells and, more recently, the partial failure of the end of the new conveyor belt to the single stage SAG mill. Long-term engineering solutions have been developed with the design engineers and original equipment manufacturers and temporary fixes have been employed, including the use of mobile crushers. The equipment failures have restricted the scheduled commissioning and ramp up, but the remedial measures taken by the team are allowing the work and production to continue and certainly, the ramp up, albeit at a slower pace. Despite the challenges, as I mentioned at the beginning, we still expect PV to produce more than 800,000 ounces in 2024. In the meantime, the new tailings storage facility, a crucial part of this expansion has received the environmental permit and the resettlement of the project affected people from the site will start in 2024. At the beginning of the year, you might remember, Veladero was a very stressed operation with a combination of operational and geopolitical challenges. We chose to cut back the mine plan and capital, while we consider the mine’s future in the context of the risk. In the interim, the mine’s new management team has done an excellent job operating in this environment and Veladero is now set to achieve above the top end of its annual production guidance. During the quarter, the mine increased production and reduced costs and we expect it to be in a positive cash position by the end of the year and to post a positive outlook for 2024. The successful completion of its Phase 7A Leach Pad has encouraged us to start the construction of Phase 7B, which is scheduled for completion before the onset of winter in the Andes in mid-2024. Across LatAm, we are looking at new opportunities in the Dominican Republic and Chile. We have recently secured a substantial land package in Ecuador and established a pipeline of permitted drilling targets in Peru. We are also working on extending Veladero’s life by adding back some resources that we previously removed from the mine plan. And in Pakistan, the site infrastructure at RekoDiq is now in place, and we are making good progress with the update of the feasibility study scheduled for completion in the fourth quarter of next year, with Laika Podium having been appointed as our project engineering partner. Seismic surveys of aquifers in the area indicate potential to meet the mine’s immediate water supply needs and drilling has commenced to confirm the potential of these aquifers. Construction of the mine is scheduled to start in 2025 with 2028 targeted for first production. When it is fully operational, RekoDiq will rank among the world’s top 10 largest copper mines. However as elsewhere, Barrick is very conscious of its social license to operate. And in line with our pledge to roll out benefits for the local community well before mining started, we have delivered three primary schools, a health centre and a mobile clinic to the surrounding villages. Last quarter, we also launched an international graduate program in Balochistan with an initial intake of nine outstanding graduates, four of them women. Our intention is to start cultivating a cadre of future experts and leaders for Pakistan’s fledgling mining industry, and we also plan to start the training of future employees from the region, targeting the first 1,000 by early 2025. In Papua New Guinea, it is been a long and winding road towards the reopening of Porgera. But the end has finally been brought into sight by the granting of a new special mining license and the execution of the mining development contract and a fiscal stability agreement. We are engaging with the landowners to extend the current compensation agreements to enable restart before the end of the year. Detailed reopening and ramp up plans are in place and we are taking all the preparatory steps to be ready for that day. It is been well worth our while to persist with Porgera. It is a significant asset with real Tier 1 potential. My introduction to the Africa and Middle East regions part of the presentation has been the same every quarter and it is no different this quarter. The region has been Barrick’s most consistent performer since the merger. It is also a highly prospective exploration destination and a core growth engine for the group. The Loulo-Gounkoto complex in Mali delivered its usual strong performance and fully deserves its place in our Tier 1 portfolio. It has an exemplary record of consistent reserve replacement and ongoing brownfields exploration indicates that it is likely to sustain this. Deep framework drilling is currently testing for repetitions of the high grade Yalea system. And elsewhere on the site, new high impact targets have been identified while a project wide review has highlighted opportunities a long strike in south of Yalea and at depth at Gounkoto and Baboto. The greening of the complex grid continues with Phase 2 of its solar farm scheduled for completion before the end of this year. Barrick is Africa’s largest gold miner and Kibali, the continent’s largest gold mine. It has recovered well from a slow start to this year and is on track to meet its guidance as well as to replace depleted reserves again. Kibali is a leader in automation and mining and a poster child for renewable energy. Since operations began, we have built 3 hydropower stations at Kibali. Together, these stations currently meet more than 70% of the mine’s electricity needs. Once its 16-megawatt solar facility with battery storage is commissioned, the mine’s electricity needs will be met entirely from renewable energy for 6 months of the year, reducing its greenhouse gas emissions by over 19,000 tonnes of CO2 equivalent annually. The two Tanzanian mines production were lower than in the previous quarter, but this is in line with their plans and they remain on track to meet their guidance for the year. In order to sustain their combined Tier 1 profile for decades to come, North Mara plans to extend its life through an optimized pit plan, while the strategy of brownfields growth continues to deliver at both North Mara and the long life Bulyanhulu. There is still great potential for world class discoveries around our operations and further afield within the Africa and Middle East region. These are some of the many opportunities from Zambia in the south to Saudi Arabia in the north. With its wealth of resources and our strong partnerships there, Tanzania is a particularly strong candidate for our next 1 million ounce discovery. In Zambia, the expansion of Lumwana is along with the RekoDiq project, another of our key growth projects. And together, they will make Barrick a major league copper producer complementing our peerless Tier 1 gold portfolio. We have accelerated its feasibility study for completion towards the end of next year, with construction starting in 2025 and 2026 targeted for first production, mirroring RekoDiq’s timetable. Lumwana’s 50 million tonne per annum process plant expansion coupled with the planned super pit will lift copper production to some 240,000 tonnes of copper per year over a minimum of 36 year life of mine and several additional targets are expected to extend this mine life further. Our other copper mines, Jabal Sayid in Saudi Arabia and Zaldivar in Chile, both delivered consistent production. Jabal Sayid, joint venture between Barrick and Ma’aden is serving as a springboard for expanding our very successful partnership. New permits around the mine are being brought to account, and we are expanding our focus beyond the current Jabal Sayid catchment area and up to the Arabian Nubian Shield, which we believe is poised to become a major new mining destination. Ladies and gentlemen, value today and growth tomorrow has been the theme of this presentation and I believe we are equipped to deliver both on the back of our uniquely successful and sustained organic replacement of depleted reserves coupled with a disciplined, long-term growth strategy. As you can see here, since the merger in 2019, we have replaced 125% of our reserves. Looking to the future, as demonstrated, we expect reserve replacement and our organic growth projects to increase production by some 30% gold equivalent by the end of the decade. And so thank you for your attention. And I will hand you over back to the Operator to manage questions, and we will be starting here in London, with the first question.
Q - Unidentified Analyst: Hi. [Indiscernible] from UBS. A couple of questions. First one, just on the guidance for this year. You have obviously indicated three or so percent below the bottom end of the range on production. Can you give us a steer on the cost trajectory in Q4 at a group level and where you expect to land for the year relative to the top end of the guidance?
Mark Bristow: Yes. I think, so the big driver in the growth, that has been clipped back has been, Pablo Verve expansion. That is still going to grow significantly in quarter four. And, again, all the regions are growing and we expect our forecast for quarter four will be better than quarter three. And with that will come an improved cost profile as well. So that trend continues as we set out to do for the quarter. The impact is in the actual expansion of PV, and I will just explain a bit to you because I think people would like to know. And that is when we commissioned the, this is, these we commissioned the largest float cells ever built. And, the OEM who supplied that, those, float cells, we have used certainly my whole career. And they under designed the gearboxes and the shaft. So We have been able to retrofit and engineer a temporary solution. So those float cells are now working, but the supplier has agreed to, send us completely new assemblages, by the end of this year, and they’ll come in one at a time. And so by the end of the year, we will have that, problem properly put to bed. And the engineered solutions might last us two to five-years, but normally, float sales will last decades. So we want to get it done properly. And at the same time, a bit like what happened in Loulo a couple of years ago. The end of the very large conveyor belt right at the end and that is the feed to the run of, the crushed ore stockpile for the single stage SAG mill. We are experienced in this because, as I pointed out, it happened with us before. And so we jumped around and installed a whole lot of mobile crashes to be able to manage that situation. And again, we have a series of, conveyors that have arrived on-site for our Dollar Mart process upgrade. And we are going to use those, actually, as I speak, installing them. And we will use those in the short-term period, so the next four odd months. While we reconstruct that piece of the conveyor belt. And so we are expecting that production will range between 70%, 75% of planned throughput and we are now continuing with the ramp up now. And there is a very complex flotation circuit. What we have effectively done what we did with PV is that it had run into a part of the ore body, which is the rest of the ore body, 20 million ounces, which has got a grade of around 2.4 grams a tonne. And we needed to jack up the throughput. And so the way we did it, process, experts, is we installed a very big float circuit in the front end of the plant and increased the whole combination part of that front end. So then what the float does is it concentrates the gold and more importantly, the sulphur, which allows and we put in flash coolers into the autoclaves. And so now we can go back from a 14 million tonne front end plant back to a 10 million tonne rest of the process, putting in the same amount of gold. We dropped the costs materially because there is not a lot of processing in that circuit. And that unlocks the entire 20 million ounces. And PV is a very low cost producer. We produce our own power. It is a natural gas fired power station. And it is a very efficient operation all around. It is very compact. The mining is efficient and so we have a profile. It’ll range between 800,000 and 1 million ounces out to beyond 2040. And that is really the impact in the short-term this year. But the big driver of the increase from this quarter to next quarter is still that project.
Unidentified Analyst: One more if I might particularly prominent concerns in the industry around, expropriation, nationalization elsewhere outside of your portfolio. If we go to Pakistan, obviously, there is been a checkered history in this asset. Two questions, what gives you the confidence, in the framework agreement that you are coming to now that a, Cobre Panama situation is not going to occur down the line. And the second is, in the Randgold days, you always talked to 20% IRR at thousands. What’s your hurdle rate, against this backdrop for RekoDiq?
Mark Bristow: So, [Daniel] (Ph), after 40-years, I think I understand my way around the mining industry. And I would point out that when we did the merger with Randgold, the Barrick portfolio, my recognition was the high nature of the quality of the assets. But every single asset had a problem. Argentina was in trouble. Tanzania, both mines were closed by the government and exactly what the reference of what you are referencing. Porger was ultimately canceled, the permit. RekoDiq had been nationalized. There was, Nevada was an inefficient arrangement of assets, because of Barrick and Newmont owning assets in intertwined and which should have been managed together, which they are today. And you look back, you go fast forward to today and look back, we have dealt with all those issues. The last challenge which is also an opportunity is the Pascua-Lama process. But what we did do is fix Veladero. And so it creates and it is not about your agreement. It is about your license to operate. You can pin any agreement in this modern world. Whether it is in a developed country or an emerging market country, you can do that. If you don’t and that is what I have said for many years, and you know this. I have said, the most important stakeholder in a mining venture is your host country, not your shareholders. Because if you get it wrong, your shareholders end up with nothing. And so for me, and it is been that for my whole career, very early on, that is how we built Randgold. Focus on your license to operate. Make sure you share the benefits, the economic benefits with the host country and the people in that country so employ locals, develop local management, and then you will be able to manage most crises. But if you don’t have a social license, any as we are witnessing for the umpteenth time, and it is not particular to just this last year, if you don’t have a social license, you can have any agreement you like. It doesn’t save the day. And it doesn’t mean it is all Utopia. You have seen the work we have had to put in Tanzania to get where we are. And today, we are a preferred partner, we are the biggest contributor to the economy in the entire nation. And that comes from accusations that we never gave anything. And so, Mali, we have been through many challenges in Mali over the years. I think I have been through 16 different governments and three coups. We are still operating. And we have a very strong social license in Mali. Doesn’t mean to say we don’t have challenges. And I think there is a message to the industry that that is an important component of mining today. And mining today has got a lot of work to really, establish its credentials to ensure that it can fulfill what the world needs from mining, because without mining, we will never have a world that is in good shape for future generations.
Alan Spence: Alan Spence, BNP Paribas. Thanks for presentation. I got two questions. I will take them one at a time. The first one’s on Carlin, the big drop in the open pit grade. That was the Orphan Gold Star stopping, taking more from the stockpiles. How do we think about that through 24 and the grade progression?
Mark Bristow: Well, that is closed now. And so it is about I mean, the big, big challenge in, Carlin, is, and Goldstrike, what I have done with Goldstrike is we have put it and it was it is always been a filler in our production. And management try to make it a core business, and it is not. And so we have got a, we have put that in a separate category, and we will manage that going forward. [indiscernible] has done extremely well. The new remnant mining is a tough enterprise, as you know. So there are parts of our remnant mining, the old sections of Carlin that are still have a lot of new mining blocks. We have been able to get ahead of the phases and drill out a future for them, but Goldstrike is not one of them. And then the open pits, we are transitioning from those open pits. But the core, focus for us too is expanding into the north, through [indiscernible]. And we are drilling brownfield extensions right along that call and train today.
Alan Spence: And then on the portfolio, just one operating asset in Canada. I know you have talked about wanting to have more there. Just interested in since the transaction when you are lead you are taking over. Why hasn’t more been done there? Has it been the case that the opportunities you have looked at wouldn’t compete on geology or evaluation, or is it something else?
Mark Bristow: So there has been a lot of M&A in Canada, as you know, and we have participated in just about every one, and we have walked away from it. And what we have done is built a very significant portfolio now, and we just referenced in the presentation the three key projects that we are taking now to drilling, and they are all in the right place. And our geological team there is as good as any of the teams we have got. And I guess from everyone in Canada, particularly, have this view that we deserve to do M&A or should do M&A. And M&A is a part of a business that as the market we were talking about it the other day, and Kevin made a very good point. Assets at some place in the market will always offer value. But in other stages of the market, they offer serious risk. And we saw that in 2011 when the entire mining industry blew its brains out. Every one of them, even Glencore is selling assets to survive. And the reason I’m here with the, Randgold team and along with the Barrick team is because Barrick and the other big gold assets did the same. And for us, we are business. It is all about business. We are not about being big for the sake of being big. We believe in relevance. And there will be times when we have an opportunity to create value through acquisition. And we started out the merger with three very aggressive acquisitions, all at market, all at market. And there will be another time, when we get another opportunity to do exactly the same. In the meantime, we just didn’t rely though, it is not a strategy to rely on M&A. And right now, that is the mining industry tree because it is X growth. And Barrick is a standout. We have despite the fact that we didn’t do those M&A transactions. We can show you 30% growth. It hasn’t cost us any money. It is just cost us effort. And the gold portfolio has got a steady growth out to 27, 28 as we showed in our Investor Day, this recent one in 12th September, and the copper profile is significant. And more importantly, we have got five-years of actually planned replacement of gold. So we have got our brownfields exploration, drilling way ahead of the face to be able to show that we will convert inventory to resources, resources to reserves over that five-years. And of course, as the years roll forward, we do more of that. And then we have got the new projects coming in. LaManna is going to dump a whole lot of copper reserves, the LaManna expansion into our portfolio and RekoDiq even more. And on top of that, about 15 million ounces of gold in our reserves. So those not only are we replacing the reserves in mine and our current Tier 1 assets, and I would point out our Tier 1 assets are by definition rather than made up. And that growth that we are talking about is new growth. And it is both gold and copper because RekoDiq is that classic asset you want as a gold miner. It is got copper in it, and it is got a lot of gold in it as well.
Unidentified Analyst: Mark, lovely to have you back in London. Just on this chart with your growth from 22 to 29, can you just remind us the cost of that, and how the sort of capital spending comes over the next few years? And I see we are sort of growing our debt levels from the low of a couple of years ago. What do you think peak debt might be in order for us to first achieve this goal?
Mark Bristow: So, Justin, as you know, we come here every year, by design to give this presentation and the LSE. If it wasn’t for the stock exchange requiring us to do a full IPO to continue our listing and London, we would be listed here. So just for FFO nothing. On the capital side, so, let’s start with LaManna. It is about $1.6 billion to $1.9 billion. And that is we are still in with the feasibility study, but we will be with around there. And that is we should at market, at consensus prices, it is about $800 million, Simon, that we would fund from Barrick. And so that is, it is an easy project for us to do whatever you, the copper price is up or down, we will put a bit more in or a bit less. But again, that is a - and if I take you back to Randgold and we can talk about this a bit. We have got, gold assets are well stacked up, and we have got long life assets now drilled out. So in the scenario that you find us today, remember when we bought gold mines out and Randgold in the early 2000, gold price was not very high. But as we bolted, the gold price kept rising and we just delivered value for our owners. And so it is one good place to build copper mines, and that is when the copper price is low. And particularly right now because I don’t think any of us believe that the copper price is going to stay at this level. But we have got the gold strength to support that development. And then RekoDiq, it is about $5.5 billion for the first phase and $3.5 billion for the second phase. But that still needs refining because we are doing the work on it. And we have got some big opportunities to reduce that first phase, $5.5 billion and that is on 100%, sorry. And then we also, as we have disclosed, working, to project finance, half of the first phase. So for Barrick, it is very affordable if you look at whatever gold price you use. And we have used a $3.75, $3 per pound copper price initially. And because of the gearing in the project finance, RekoDiq comfortably exceeds the 15% IRR. And so again, that is a project that is easily managed. We have, Goldrush is a $1 billion investment. It is a high grade mine. It is easy to fund. That is on a 100% basis. And the other big capital project is PV and that was a $2 billion project with $1 billion into that. So those are the projects as they stand. I will ask Graham to indicate to you the profile, our capital profile. But you talk about debt, we don’t really go into stacks of debt. Because I would just point out everyone in the industry listen to people like you, not you because you didn’t do it, but most fund managers asking for more and more dividends in an industry where it is capital intensive if you are growing it. And you noticed we didn’t do that. Although we distributed significant amounts of cash back to our shareholders. It was based on our P&L and our available cash, not going into debt to pay dividends. So today, we have paid down the debt to almost zero leverage. We have spent $7.5 billion plus into our business, and we have dividended out around $6 billion with all cash returns. That is significant value we have created. And now we have got these projects where they all pass our filter of 15%. We look at return on capital invested of around 10% and IRR of around 50% depending on the project. So but RekoDiq is exceptional because we believe we can gear it, that it gives us that sort of return. So you want to finish the question?
Graham Shuttleworth: Yes. So, Justin, I mean, as Mark has alluded to, we have got these two big capital projects that are on horizon, and both of those are scheduled to really, start ramping up in 2025. So the sort of peak years from a capital point of view are 2025 and 2026. So, yes, this year, we will spend around $2.5 billion on an attributable basis for our capital. Next year, we will see a little bit more just as we start to spend some money on those sort of pre fee in advance of those feasibility studies being completed at the end of 2024. Then 2025, those are our peak years. And then 2025 and 2026 are the sort of peak years. And then 2027, it starts to come back down again as those projects roll off. So the key point that Mark’s making though is, even if we use commodity price assumptions below the current spot prices, so, if you use consensus prices which are you have a declining profile. We don’t build debt through this period. The cash flow from our business funds all of that capital. So we don’t have any, debt build up on that basis.
Mark Bristow: So whichever way you cut it, Justin, you need to buy some more stock. Anybody else? Very good. Let’s move to those on the call.
Operator: [Operator Instructions] The first question comes from Lawson Winder with Bank of America Securities.
Lawson Winder: Great. Operator, thank you, very much. Hello, Mark. It is, very nice to hear from you. I would like to ask about Donlin. So in your project growth discussion in the MD&A, you mentioned, exploring further partnership opportunities to unlock value. And I just wanted to check, is that to suggest that Barrick is seeking a sale of a portion of its interest in Donlin?
Mark Bristow: I’m not following you. I don’t think we say that with reference to Donlin. So I have shown you this slide. I don’t know if you can see it. But if you go back to the North American exploration side, what we are busy doing. So let me explain to you. When we closed the transaction, Donlin had a global resource. It didn’t really have an ability to model where the gold department was. And so we have advanced our understanding of the ore body over the last couple of years and we have also really gone into some details in the different phases, the different geological domains of the ore body, and got to understand their variograms. And so we are now in a position where we are absolutely comfortable about the modeling and the ability to optimize mining, mine plans. And that is we got a little bit more drilling to drill out some of the gaps and so the first bullet there is the continuation of our geology work and we want to build in some measured resource. At the moment, we got most of the resource covered in an indicated category. And this will be able to now and we have done our preliminary mine plans and modeling and pit scheduling. But with this, we can really go and start optimizing it, and that is the next step. And at the same time, while we did that, we were able to collect more and more, samples to continue with our metallurgical tech test work and processing trade-offs and we have got some, we are going to build a lab scale testing facility to be able to simulate some of our metallurgical flow sheets. And then, the next one is, one of the big things that have changed, in the last, a few years is the cost profile and the capital cost, particularly. And so we need to refresh all the capital estimates for that design. So once we get a real handle on that and when it is not far away, we will be able to do that. And then the important other aspect is because power cost, power generation, power strategy has all changed. And so there is work to be done there to make sure that we have that part of the project was which is a critical part of this project, well understood. And we have still got some permitting to complete, particularly around the tailings storage facility. And then you start getting to the stage where you can actually understand at what gold price this project will be viable, as an investment. And for us, we are a very focused, gold mining company that has an obsession about sustainability. And a big 32 million to 36 million ounce resource is important in our portfolio. And certainly, in my career, I have watched ore bodies go from unprofitable to significantly profitable over time. And if you just go back to 99, gold price was 2.60. Today, it is 2,000. And if you look at the average grade of the industry, it is been declining materially as people can use higher gold prices to make money. And that is the way we look at it. I can honestly say there hasn’t been a day we have considered putting it out in the market to, for sale.
Lawson Winder: And then just on exploration, there is a discussion again of North Eagle. So it is great to see the exploration success there to date. And I was just wondering is there expected to be an additional maiden resource as of year-end 2023 for that Fallon Miramar gap? And then is there any expectation for any significant update on North Eagle resource in any way for this year end update? Thanks very much.
Mark Bristow: Yes. I think we will be updating our reserves and resources at the end of this year, as we always do. And with that will come some, we will definitely point to some of these emerging projects. They are extensions, but they are material extensions. And so let’s we will make a decision. I mean, we will share that with you when we get there. And our objective has always been to replace the answers that we are mining, but at the same time, we have guided that, Nevada is on a three-year rolling average, that we look to replace the reserves. And so we build, because a lot of the ore bodies are deep, we build the inventory, and that is what we have been doing. You roll forward the resources, and then there’ll be a period where you have got enough of a pipeline to keep on an annual basis replacing the reserves. So we are getting there as far as North America goes, but you are going to see a big resource or inventory and resource growth going forward.
Operator: The next question comes from Martin Pradier with Veritas Investment Research.
Martin Pradier: My question is on Pueblo Viejo. I saw the recovery rate decline from 89% in Q2 to 70% in Q3. I’m wondering, what I should expect for Q4? And if this is all related with the cells that you were talking, and the production in Pueblo Viejo was 79,000 ounces, if it will be materially higher in Q4 or we have to wait until Q1 for that?
Mark Bristow: So, the recovery is purely a result of the ramp up, and that is you know, as you feed these new processes or flow sheets, we have got to get everything balanced. And we did that, and we have been using lower quality stockpile ore on the commissioning side. As you can imagine, our intention is not to try and put as much gold as we can onto the tailings dam. We ought to try and make it land in the gold room. So we have used a lower quality, less sulfur rich and lower grade ore to commission the mine, and that impacts on recovery. Slowly, we will wrap that up and we are busy with that right now the ramp up, it was delayed because of those flotation cell challenges. And as we do that and we settled the process down so we will shift back to better oil and we will return back to the design recovery rate. Notwithstanding that, we expect to have an improved quarter four relative to quarter three in production wise. And we should start seeing the recoveries improve. And then quarter three will be the same. We expect to be fully back at full operations at the, during quarter one next year, and towards the back end of quarter one next year. But notwithstanding that, as I pointed out, the design, profile for, Pablo Viejo is above 800,000 ounces. And, certainly, from what we see today, we will get to above 800,000 ounces in 2024. So a softer start but a strong finish for the year.
Operator: The next question comes from Tanya Jakusconek with Scotiabank.
Tanya Jakusconek: Maybe just on Pablo Viejo, I’m just looking at your Investor Day presentation of November 2022 when you gave the production profile for Pablo Viejo. And 2024 mark was supposed to be one million ounce year for this asset. So I’m just trying to understand from you as we have had these delays and push outs and so forth. Should I be thinking of moving that one million ounce production profile down to, am I looking in the 900,000 ounce range and taking that differential and pushing it into 2025 where we had to dip back down to about 900,000 ounces. So I’m just trying to understand overall what 2024 looks like relative to what you provided for us in the Investor Day?
Mark Bristow: You are definitely, so that is correct. The situation here is, at this stage, what we can say was certainly is certainty as we will break the 800,000 ounces. The answers we don’t make in next year, we will roll forward into the other years. So that is correct. But what we wanted to point out that despite the slower ramp up, our job is to get this mine complete and running. We will still beat the design, the long-term design production. And could it be significantly above 800,000 ounces? Yes. Would it be 1 million? No. So it is somewhere between the two. And we will tidy that up, Tanya with you when we speak to you in early February when we give the full guidance at that time. But we just felt that this is one that you need to be aware of.
Tanya Jakusconek: I just wanted to make sure that when you provide guidance for the next year in February, I don’t have this 1 million ounce production profile that?
Mark Bristow: Yes. That is why we have given you that guidance.
Tanya Jakusconek: And should I be thinking because of the revisions to the production profile for 2023 on lower production and higher costs and then sort of this push out of Pueblo Viejo. Should I be thinking that the capital returns should just mainly focus on dividends for the remaining part of this year and into next year versus share buybacks even though your stock is relatively cheap? Should I be thinking that way?
Mark Bristow: No. I don’t think you should be thinking anything like that. Right now, we have got a dividend policy, and that is, as soon as we get cash or net cash in the balance sheet at the end of the quarter, we will pay an the dividend and it is very clear, our guidance. And, Tanya, we have been very loyal to that strategy unlike any of our peers. At the same time, we can change that because if we buy back stock, then it’ll push the net cash position below zero and we won’t pay the dividend. So we can do both. We can do one or the other. We can do both. It is exactly but we need to get some, we need to keep a strong balance sheet because right now, as I pointed out, we are independent of the market. And I have been there before in these stages and it is not in our interest to stress our balance sheet when as you heard from Graham, we have got some significant capital ahead of us and that capital delivers real returns. And so that is our focus. As we have always been our whole career. We worry about creating value from mining. World class ore bodies and not trying to buy our stock by paying more and more dividends on the back of increasing debt.
Tanya Jakusconek: So priority of dividend over share buyback is what I have taken from this?
Mark Bristow: No, it is not. It is either ore.
Tanya Jakusconek: And then my final question, if I could. I just wanted to come back to the health and safety. I’m just trying to understand, Mark, what’s going on with health and safety with these fatalities. We talked a little bit about it on another conference call last year. We had quite a number of fatalities and then another two. Can you just review with us, is it that procedures aren’t being followed, your procedures need to be updated? What exactly is occurring? I’m just trying to wrap my head around all of, what I’m seeing.
Mark Bristow: So the one fatality still hasn’t really been classified, the one in the United States. So that still needs a bit of work before we can talk in too much detail. But the fundamental aspect of this is operational excellence, Tanya. And when you get and it is the requirement to get people to concentrate, and to be properly qualified to do the job and be aware of what they need to do before they embark on any work. And when you go through these stages, you have got to spend a lot of more time in making sure that we are training our people correctly and that they are able to deal with the challenges of work underground and work in a heavy industrial environment or heavy industry environment. Like all accidents, there is some neglect in it, either not really doing a proper risk analysis before starting the work or that you overlook procedures and standards. And the question, and it is easy for us to blame that. But it is, there is more to it than this when you manage health and safety. And just like you see our environmental strategy starting to work. It takes time in a big organization to really make sure that every person who comes in the gate and every person who works in this walks into a specific environment within that heavy industry is qualified to be there and is capable of working safely. And that is our big focus right now.
Tanya Jakusconek: Okay. So you have tightened your procedures, I’m assuming, in terms of 1Q…
Mark Bristow: Not tightened our procedures. We have introduced training schools, proper training minds in Nevada because a lot of, in America, you don’t have this philosophy of a technical qualification, so we are doing it ourselves. We have partnered with the technical training institutions, both in Northern and Southern Nevada. And in Africa, we have revisited that induction and making sure that our technicians like electricians are current, are kept current through our training programs.
Operator: The next question comes from Mike Parkin with National Bank.
Mike Parkin: Just a little bit of looking for some additional color in 2024 for PV. With respect to downturns, will there be kind of major downturns to get the conveyor fixed and up and running, get the new gearboxes and drive shafts replaced with the more robust units on the leach tanks. Would that all happen in Q1? Or I would imagine it is likely a bit of a back half weighted year for the asset. Just any kind of additional color you could provide would be fantastic.
Mark Bristow: So we can manage the downtimes in our current profile and all the leach tanks in the retrofits or the refitting of the new assemblages will happen before the end of the year. And then by that stage, we should be properly ramped up as far as process, flow sheet, that sort of thing. And then we have got a lower throughput in the first quarter, because we have engineered and interim solution, which gets us 70% to 75% of the way to our full design throughput. And that is independent of the current conveyor infrastructure. So to fix that and erect the new extension will not be impacted and certainly won’t impact the operation. And then we will switch over to the newly installed, conveyor, once it is all done and dismantle the temporary conveyor system that we have put in its place. So that is why we are confident that we will crack the 800,000 ounces next year. And if we get it done earlier and we get the ramp up more efficient earlier it all helps to the point that Tanya was talking about, so we get more, not less, above the 800,000 ounce forecast.
Mike Parkin: A follow-up on that is just the work on the needed new tailings dam, is that continuing to track well to plan from the May site tour or is there any delays in terms of getting final sign off on permits to get that work underway or the relocation of, some of the villagers, I believe, had to be moved out of the way. Is that all tracking to plant?
Mark Bristow: It is all tracking to plant, and it is fully permitted. So the work we have got to finish for the actual design is, we got a couple more holes to finish on the main wall just to make sure that the, because this is, the Lagoel Dam [ph], which we are using now is one of the most engineered tailings facilities in the world, and it survived seismic events. And so this is a very highly engineered dam. Foundations are critical in the way we engineer it, so we are busy with that work. And then, but the dam itself is permitted. And, we are far down the road on our consultation program with the community. And as I pointed out in my presentation, we will start moving, people. And these are people some of them are effectively squatters on state land or on other people’s owned land, but they have a right under the Dominican Republic law to that land because they have been living there for so long. And what we are doing is building new village infrastructure. So proper communal village living and with the infrastructure and all the services as well. So it is been relatively easy to, find solutions and get the commitment to relocate, and we are busy with that. And as you know, we have done some of the biggest relocations in the world in Randgold, and they have been all been tour.
Operator: [Operator Instructions] The next question comes from Anita Soni with CIBC World Markets.
Anita Soni: First question is with regards to costs. So I can see they came down this quarter and are trending more towards the guide that you put out at the beginning of the year. Can you talk about some of the areas where you have seen cost relief and, any implications that has to the CapEx number going into next year?
Mark Bristow: So, Anita, nice to hear from you. I mean, we are forecasting another decline in costs, along with the further increase in production in 2020 I mean, in quarter four. The world is very dynamic as you know. And oil and gas are one of the key drivers of our costs in many of our operations. So yes, I think that is a good trend. I would prefer if you let us guide you on the costs for next year when we give you the full guidance. But that is really the trend at the moment. And you are right. We are getting back towards the guided costs. We are not going to make it, quite make it there because one of the drivers of the cost too as Graham has said before is, is the higher gold price on the royalties. So $100 is $5 on the cost, Graham. So $100 is $5 above our and remember, we planned at 6:50. 16:50, sorry.
Anita Soni: So my second question is with respect to the softer quarter sorry, softer years that you are going to see at Carlin and Cortez this year. So would it be safe to assume that next year, I think you were guiding to Nevada gold mines, being a little bit weaker in 2024 originally, but, with these kinds of delays in the production in 2023, could you see some of that pushed out into 2024? And maybe it is not as soft as you had previously guided?
Mark Bristow: No. I think our guidance for 2024 that we last spoke about it. And again, we were saying one of the things, just like I did in Argentina, we need to give this team a bit of a breather. It is really right at the edge all the time, and it is just not getting on top of things. And so that is the discussion you and Tanya and I and a couple of other analysts had when we were down together in PV. And we are mindful of that and we gave that indication of where things are going to land. And I think, right now, that is where I would like it to stay until, but we will tidy it up next year when we talk to you in February.
Operator: The next question comes from Jackie Przybylowski with BMO Capital Markets.
Jackie Przybylowski: My first question, I’m sure you have been asked this a lot, but maybe it’d be helpful to ask you on the call. You have said before that you’d be looking at copper assets. I know you have addressed this sort of indirectly today. But if you could just maybe be a bit more direct. When you are talking about buying Freeport, you said you would do it if you saw it at a distressed discount, and that moment is obviously passed. You have also been linked in the media to potentially looking at buying First Quantum in the past. I think everybody would agree that it looks like the stock price is a bit of a distressed discount at the moment. Does that change your view on acquiring First Quantum at this point?
Mark Bristow: So, Anita, right now, things are very fluid. As you can imagine, it must be a tough time for First Quantum. The press is not my investment banker. And so, it would be I think it’ll just be ill advised for me to comment on that question. I think First Quantum needs to focus on it is challenges, and none of us like to see that sort of event in our industry.
Jackie Przybylowski: And it is Jackie, by the way.
Unidentified Company Representative: Sorry.
Jackie Przybylowski: It was a tough question, so I understand the mistake. Maybe on RekoDiq, there has been a lot of talk again in the media about potential partners at RekoDiq. And I think I actually asked you guys this last quarter, but since then there is been more talk about whether it is the Saudi’s or Egyptian individuals? Can you just reiterate like how you expect the project to look from your side? You are looking to retain your 50% stake in RekoDiq? Or would you entertain partners coming in terms of sharing the Barrick equity?
Graham Shuttleworth: So Jackie, what I can tell you is again was asked this question by a reporter off left field. Never spoken to him about it, and he’s got about little or no chance, probably no chance, of ever getting equity in RekoDiq and I think he knows that. And that is no reflection on [indiscernible]. He’s a great friend of mine, but we are not selling equity. It is not an equity sale list. The conversation around Saudi and Pakistan and their equity is, as you know, Saudi was a big player in supporting the IMF rescue of Pakistan. It is a long-term friend, partner and supporter of Pakistan. And those conversations are being held in some form but, and we are there to support and we are, as you know, strong partners of Saudi Arabia and Saudi Arabia, and we are very committed partners to Pakistan and Pakistan. And we are there to help wherever we can but we are definitely not meddling in any conversation. And the one thing that is clear is our 50% is not for sale. So I think that will probably help. If you ask me again next quarter, I will give you the same answer, I promise.
Operator: The next question comes from John Tumazos with John Tumazos Very Independent Research.
John Tumazos: Mark, congratulations on everything. I hope I don’t offend you, but I did a little spreadsheet comparing 56 companies and some of them weren’t gold companies. And those 56 companies in the last three-years bought back $73 billion worth of their stock. Every steel, every forest products and every fertilizer company I looked at bought back stock. The gold companies are different, Mark, so I don’t compare you to gold companies. There actually are five companies that bought back over $1 billion so far this year. And the biggest one was vale that spent $14.25 billion on buybacks the last three-years so far. Last year, Barrick bought back stock, this year, you are not. How do buybacks compare to expanding Lumwana, extending Pueblo Viejo, RekoDiq. Just walk us through how you make those choices?
Mark Bristow: So, John, that is a good question, and thank you for the compliment. Well, I think it was a compliment.
John Tumazos: Certainly. I compare you to real companies and not gold companies.
Mark Bristow: Yes. Thank you. So again, as I pointed out earlier, one of the things, if you go back through my career and most of my career has been with Graham and we have a very clear outlook on how we manage our balance sheet, is that you need to have a capital allocation strategy and a policy, and we have got one. We worked to one win right out the blocks in 2019, and then we built one and shared it with you 18-months ago. And today, it stands that we pay a base dividend of $0.10 a quarter anytime because our long-term business strategy delivers that base dividend no matter what the gold price is or what the most foreseeable gold price or minimum gold price is. And then once we get a net positive cash position, we add to that $0.10. Now the way we can manage that is and we won that because we are in the growth phase. And I have proven before, and I am determined to prove it again. If you keep investing into profitable assets, ultimately, you make more money than you need to reinvest in your future. And that is what happened in Randgold after 10-years, and we had 1three-years of growing dividends no matter what the gold price was. And so, the way we can manage that, buyback relative to dividend is when we see the trajectory going above net cash, we have a choice. Buyback the stock or let it go past that point. And then at the end of the quarter, if we have got net cash, we it triggers our dividend policy. So that, as management, we can manage that and we never put the balance sheet at risk. And I have always said, the one thing you need to know in mining is that when the market goes against you, you have no friends. And when you ask for money at that time, you get slaughtered. All the stock buying will never help you. So I have always, worked to be independent of the market and shareholders like that. They might not like that in time and hot times. We have just been through a very hot time. But look how suddenly the base metal companies have started having to cut back on expenditure, reduce staff, defer capital, lots of things, because everyone thought that commodity prices continue to go up and up and never come down, and that is not the case. So for us, that is the way we manage share buybacks. And at the time, as you know, we had a lot of cash flow. We were able to choose. We had to balance our returns to our shareholders. We have done that. But we also saw a significant weakness in our stock price. And more importantly, a relative weakness, relative to the rest of the gold industry, which itself is weak. And so we felt that taking some of that extra cash coming off our P&L and buying shares is the right thing to do. I have always felt as a mining industry and Barrick is in a particular place, has got a lot of outstanding shares. It is hard to make a dent on them, but we will continue to do that. When we have an opportunity and we got free cash, we will buy the stock back. If it goes too low, we will buy it back as well. I believe, we passed that real tough part in rebuilding Barrick. We have set a solid foundation. We have built a strong team. We know where we are going, we are not going to regret any of the decisions we have made because they have been well made and we can afford our growth and there are not many mining companies that can show 30% organic growth ahead of them. And I think we are well positioned to benefit from the long-term bullish output on put on copper. And right now, I can’t see much downside risk on gold, just because of the chaotic global environment we find ourselves in, whether it is the global economy or just the geopolitical risk and everything else that goes with it.
John Tumazos: So basically, the growth from RekoDiq is more valuable than buying back shares in your opinion.
Mark Bristow: Yes. In the short-term. Because, if you get caught in the market without money, for a big project like RekoDiq, then you hurt the overall long-term reserves. And so that it is the choice of capital allocation. And we are we are not going to issue new stock. We are not going to put our shareholders at risk at all in the next five-years, we can see it, it is banked. And ultimately, our share price will go up naturally, because we are going to show people we have got the discipline. You know, people are still thinking we are going to do some crazy M&A transaction, that is not the case. We have demonstrated that should the opportunity arise to create value through acquisitions will take it, even if we have to be aggressive. But right now, we are in good shape and we don’t have any regrets if you look back five-years.
John Tumazos: Mark, I know this wasn’t on your watch, but from 94 to 98, the stock was much higher than today. And even through the dog years when the Swiss were selling out their gold reserves, 98, 99. And I know all the gold stocks are cheap today. The market gives no credit for all your successes in Tanzania, PNG, Pakistan, etcetera. So I guess we are just going to be patient and wait for the earnings to come in and for the market to recognize all the good things you are doing.
Mark Bristow: Yes. I think, John, I don’t have to lecture you on this. It takes one bad decision to damage a reputation. It takes years to rebuild it. And we literally had to rebuild the Barrick portfolio, I mean, piece by piece, as I pointed out earlier in the presentation. So and, the 90s you are talking about, remember 90, I modelled Randgold on the 90s barrack. And that was a different company to what transpired in 2010, 2011, 2012, and 2013, where effectively, the company wrote down, $20 billion of investments, and they were all U.S. dollar investments. On top of that, there was the equity issues. So there was a, it was in a very stressed situation, at the time of our merger.
Operator: There are currently no more questions from the conference call.
Mark Bristow: Well, thank you very much, ladies and gentlemen, both on the call and here in London, it is great to be back in London. Nice to make sure to reinforce the fact that the weather hasn’t changed one bit. And, I look forward to continuing to catch up with you virtually until we meet again in person in a year’s time. Thank you very much.